Operator: Good day, ladies and gentlemen, and welcome to the Quarter 1 2013 US Ecology, Inc. Earnings Conference Call. My name is Sue, and I'll be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Eric Gerratt, Vice President and acting Chief Financial Officer. Please proceed, sir.
Eric L. Gerratt: Good morning, and thank you for joining us today. Joining me on the call today is acting President and Chief Operating Officer, Jeff Feeler; also on the line are Senior Vice President of Sales and Marketing, Steve Welling; and Vice President of Operations, Simon Bell. Before we begin, please note that certain statements contained in this conference call that do not describe historical facts are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Since forward-looking statements include risks and uncertainties, actual results may differ materially from those expressed or implied by such statements. Factors that could cause results to differ materially from those expressed include, but are not limited to, those discussed in the company's filings with the Securities and Exchange Commission. Management cannot control or predict many factors that determine future results. Listeners should not place undue reliance on forward-looking statements, which reflect management's views only on the date such statements are made. We undertake no obligation to revise or update any forward-looking statements or to make any other forward-looking statements, whether as a result of new information, future events or otherwise. For those joining by webcast, you can follow along with today's presentation. For those listening by phone, you can access today's presentation on our website at www.usecology.com. Throughout our call today, and this morning's earnings release, we refer to adjusted EBITDA and adjusted earnings per share. Both adjusted EBITDA and adjusted earnings per share are not determined in accordance with Generally Accepted Accounting Principles and are therefore susceptible to varying calculations. A definition, calculation and reconciliation to the financial statements of each can be found in Exhibit A of our earnings release. We believe these 2 non-GAAP metrics are useful in evaluating our reported results. Now I'll turn the call over to Jeff.
Jeffrey R. Feeler: Thank you, Eric, and good morning, everybody. I'll start this morning's call with a few summary comments on what we believe is a strong start to 2013 for US Ecology. I will then turn the call back to Eric who will provide more details on the financial results released earlier today. I'll close out with a few comments that reaffirms our company's earnings guidance for the balance of the year, and after that, we'll open up the call to questions. For those joining by webcast, I'll refer you to Slide 5. The strong momentum that we experienced in 2012 continued in 2013 allowing us to start the year on a very strong note. Both volume and average selling price improved over the first quarter last year. This combination of higher volume and favorable service mix drove a 30% growth in our total revenue. Our treatment and disposal revenue was up an impressive 21% in the first quarter of 2013. Our Event Business was exceptionally strong in what is typically a softer, seasonally influenced quarter, growing 54% over the first quarter last year. Our recurring Base Business revenue was down slightly at 1%, which we believe is primarily timing related. Operating income was $9.7 million, up 49% over the $6.5 million in the same period last year. This increase highlights the leverage inherent to our disposal services, which are the core of our business. EBITDA grew 31% in the first quarter to $13.9 million, up from $10.6 million in the same period last year. Net income was up 20% to $0.29 per diluted share during the quarter. This included a pretax $972,000 noncash foreign currency translation loss on the devaluation of the Canadian dollar. Adjusted earnings per share was up 52% to $0.32 when excluding this noncash foreign currency translation loss. This compares to adjusted earnings per share of 21% in the same period last year. The key financial return metrics we track remained at industry-leading levels. Overall, I'm very pleased with the solid execution across all of our facilities and business lines. As we'll cover in more detail in the business outlook section, our market continued to be healthy and our project pipeline remained strong. With that, I'll turn it back to Eric.
Eric L. Gerratt: Thank you, Jeff. As shown on Slide 6, and as Jeff mentioned, first quarter 2013 revenue was up 30% to $42.9 million. This was driven by higher treatment and disposal revenue and higher Transportation revenue. Organic treatment and disposal revenue was up 13% in the quarter, excluding US Ecology Michigan. We disposed of 223,000 tons in the first quarter of 2013, up 4% from 215,000 tons disposed in the first quarter last year. Excluding US Ecology Michigan, volumes declined 11% in the first quarter of 2013 from the first quarter last year, which included carryover shipments from our 2011 GE Hudson River project. Our average selling price increased 19% in the first quarter of 2013 over the same period last year. Slide 7 breaks down our Base and Event Business over the last 6 quarters, excluding US Ecology Michigan. Recurring Base Business contributed 63% of treatment and disposal revenue during the first quarter of 2013. This was 1% lower than the first quarter last year. Event Business was 37% of treatment and disposal revenue, up 54% from the first quarter last year. The Slide 8 breaks down treatment and disposal revenue for both Base and Event Business by customer category. As with the previous slide, US Ecology Michigan is excluded. Treatment and disposal revenue from private cleanup events increased 149% in the first quarter of 2013 compared to the same period last year. This increase primarily reflects shipments from an East Coast cleanup project in the first quarter of 2013. Our Refinery business was up 29% quarter-over-quarter. This increase reflects higher volumes and improved thermal pricing in the Gulf Coast refining market. Treatment and disposal revenue from third-party waste brokers was up 10% in the first quarter of 2013 over the first quarter of 2012. This reflects increased shipments across the diverse range of waste generators directly served by our multiple broker customers, including higher volumes of brokered thermal recycling projects. Thermal recycling business may be included in our refinery, broker or other industry category, depending on who our customer is. Thermal recycling revenue climbed 7% to $4.3 million in the first quarter of 2013. This was driven by 4% volume increase and a favorable service mix. Our Government Cleanup business increased 9% in the first quarter of 2013, this improvement was primarily due to higher volumes from the U.S. Army Corps of Engineers and waste received from the cleanup of a closed military base. Treatment and disposal revenue from the Army Corps was 11% higher in the first quarter of 2013 than the same period last year. Treatment and disposal revenue from our Other industry category customer group decreased 11% over the same quarter last year. This reflects decreased shipments from a broad group of industrial customers. Continuing to Slide 9, gross profit was $15.4 million in the first quarter of 2013. This was up 27% from $12.1 million in the first quarter last year. Overall, gross margin was 35.9% in the first quarter of 2013, down from 36.6% in the same quarter last year. Treatment and disposal gross margin for the first quarter of 2013 was 42%, up from 41.1% in the same quarter last year. This gross margin improvement reflects the more favorable service mix in the first quarter of 2013. Selling, general and administrative spending, or SG&A, was $5.7 million in the first quarter of 2013. This was up from $5.6 million in the first quarter last year, but down as a percentage of sales from 17% to 13%. The increase primarily reflects $316,000 of SG&A expenses related to our new Michigan operation in 2013 and higher consulting and legal fees, partially offset by lower incentive compensation and business development expenses. Operating income grew an impressive 49% to $9.7 million in the first quarter of 2013, up from $6.5 million in the same quarter last year. Adjusted EBITDA for the first quarter of 2013 was $13.9 million, an increase of 31% from $10.6 million in the same period last year. We realized $938,000 of noncash net foreign currency losses in the first quarter of 2013 on a weaker Canadian dollar. This compared to noncash net foreign currency gains of $1.1 million in the first quarter last year. Net income was $5.4 million or $0.29 per diluted share. Adjusted earnings per share, which excludes the foreign currency loss of $0.03 per share, was $0.32. This was up 52% from adjusted earnings per share of $0.21 for the first quarter last year. Slide 12 summarizes our financial position and return metrics. At March 31, 2013, we had $4.5 million in cash. Borrowings on our credit agreement totaled $41 million. This left $47 million available under our credit facility for future borrowings. During the first quarter of 2013, we generated $12.3 million of cash from operating activity. We invested $6.8 million in capital projects and paid down our reducing revolving line of credit by $4 million. Since we accelerated our January 2013 dividend into December 2012, no cash was paid out for dividends in the quarter. Our return on invested capital for the 12 months ended March 31, 2013, was 15.3%. Our return on total assets was 12.7% and return on equity for the same period was 24.1%. With that, I'll turn the call back to Jeff.
Jeffrey R. Feeler: Thank you, Eric. 2013 is off to an excellent start. We're reaffirming our confidence that US Ecology will deliver continued growth in 2013 on top of record 2012 performance. As shown on Slide 13, we continue to estimate earnings per share between $1.45 to $1.55 per diluted share, excluding noncash foreign currency effects. We currently estimate 2013 adjusted EBITDA will range from $62 million to $65 million. This outlook reflects adjusted EPS and adjusted EBITDA growth of up to 12% over 2012 results. We expect our financial performance to improve over the balance of the year as we move through the spring and summer construction season. Overall, we expect industrial production to continue growing, translating into continued growth in our Base Business. Our Event business pipeline remains strong with multiple cleanup projects under contract and shipping. The robust Texas refining market also continued to boost demand for our thermal recycling and landfill services in that region. For those modeling our company, we expect gradual improvement in our treatment and disposal gross margin over the balance of the year. We continue to estimate that our treatment and disposal gross margin will range between 43% and 45% for the entire year. We expect our effective income tax rate to approximate 39% for the year. This is up from our previous estimate of 38%, reflecting higher state income taxes. On the capital expenditure side, we continue to expect 2013 capital spending to range from $22 million to $23 million. This includes $3.4 million of capital projects started last year in 2012 that will be completed this year. As discussed in our year-end earnings call, additional capital expenditures will be devoted to constructing new landfill space in Nevada, Texas and Québec in addition to the acquisition of additional land adjacent to our Texas facility to accommodate long-term growth. We continue to invest in properties and equipment upgrades at all of our sites to maintain the best-in-class service and operational efficiencies we believe our customers have come to expect of us. Strategically, we remain focused on driving revenue and building the business through a combination of organic and carefully targeted acquisition. Our team is squarely focused on executing our 2013 plan in a safe, compliant manner that protects people and the environment. In closing, I'm very pleased with the first quarter results. We're excited about the opportunities in 2013 and beyond to increase earnings and deliver sustainable long-term shareholder value. We have a superb team and irreplaceable assets with a focused strategy. With that, I'll turn it back to the operator to open up for questions.
Operator: [Operator Instructions] Your first question comes from Rich Wesolowski of Sidoti Company.
Richard Wesolowski: On the last call, management forecast Base revenue growth for 2013 mid single digit, low double digit, and I'm wondering if the March quarter result changes your view or even sways it within that range?
Jeffrey R. Feeler: Yes, Rich, this is Jeff. The flatness we experienced in our Base Business during the quarter, as we kind of talked about in our opening remarks, was more timing related. As we drilled into the specifics of it, we did have one customer during the quarter that saw a year-over-year reduction in shipments, and that was primarily due to a completion on their side of a project with one of their customers. If we were to strip out just this one customer from mix, we actually saw about a 2% increase in Base Business. The other thing to consider is the prior year quarter was a very difficult compare period. We had a very strong Base Business period that quarter, it was about 73% of our total treatment and disposal revenue. And so it did create a difficult comparison year-over-year. As we really look out to the balance of the year, we're not seeing any change in the Base Business. We do view that -- feel that industrial production is continuing to grow, which will drive modest growth to our Base Business.
Richard Wesolowski: So would it be accurate to say that on the Events side, you probably saw more than your fair share of business in the March quarter relative to what you would expect seasonally? Whereas in the Base, you would expect normal year, whereas it gets better and better as the year goes on?
Jeffrey R. Feeler: Yes, I would expect Base Business to continue to improve. I think from a percentage basis, we're going to see Events business decline from the first quarter. It's not going to be at a 54% level for the duration of the year.
Richard Wesolowski: Right. Okay. Has the company secured the next phase of its Westinghouse contract?
Steven D. Welling: Rich, this is Steve Welling. Yes, we're into the next exemption, which was approved recently and rail cars are en route as we speak.
Richard Wesolowski: Would you remind us on how long that takes you out on this particular project?
Steven D. Welling: At least through the end of this year, and not exactly sure on '14, it looks like they're going to be expediting shipments, which is good for the next couple of quarters. And then, as these projects go, you dig and you see what happens. So we'll know more in future quarters.
Richard Wesolowski: Is this the only project at which Ecology is collecting LARM?
Steven D. Welling: We do have another project that's scheduled. This is the only current job. I think you -- what you mean, Rich, is SNM. Is that...
Richard Wesolowski: I was thinking of low-activity radioactive material?
Steven D. Welling: We have a number of projects moving to our facilities that are actually low activity, which would be nonregulated or exempt-type material that the Westinghouse required an exemption from the NRC because it's considered special nuclear material, which is more of a unique waste stream. So we have both moving. Does that answer your question? We have.
Jeffrey R. Feeler: And then, Rich, all I'll add to that. We do see opportunities, especially on the SNM market to continue to compete and win additional projects in outer years.
Richard Wesolowski: You're right in your correction, Steve, my terminology was off, lastly, my acronyms. Lastly, the company filed a shelf -- a mixed securities shelf on March 1, I'm wondering if you're in detailed discussions with any candidates? Or what, potentially, you could aim to buy?
Jeffrey R. Feeler: No, the purpose of the shelf that we put in place, back in late February or early March, really was for best practice. Just to have something on the -- in the market that if we had an opportunity to tap it, it would make for an efficient process. Outside of that, there's nothing on the imminent horizon that we see that we'd be tapping that shelf registration statement at this time.
Operator: Your next question comes from the line of Michael Hoffman of Wunderlich.
Michael E. Hoffman: Can we -- remind me, is there a little bit of GE left in the -- last year in Event and so the Event is even stronger?
Jeffrey R. Feeler: Yes. In the first quarter 2012, we did have carryover GE Event Business that came through that quarter.
Michael E. Hoffman: Right. And then -- I can't remember whether it was the fourth or the third quarter where you talked about pipeline deals were signed, waiting for scheduling. I know one of those is Pacific Gas & Electric on doing more nuclear. But where are we in sort of the progression of some of those things that were in hand but waiting for scheduling on the Event?
Jeffrey R. Feeler: Yes. They're moving ahead. So we see a lot of the projects that we talked about, just about 8 weeks back when we gave year-end guidance, and those are being scheduled. They're either shipping today or they're being scheduled out. We're also seeing new opportunities come up as we enter into the spring construction season. There's a lot of the planning cycles going on right now, and we're seeing a lot of budgetary opportunities that will hopefully materialize into waste -- input into our facility.
Michael E. Hoffman: Okay. And then one of the things that you have been benefiting from is, over the course of the last few years, is you kind of tweaked your permits to be able to address changes in the market, chemistry changes in production and the like. Where are we in the sort of the next round of that opportunity within the mix of assets?
Jeffrey R. Feeler: Modifying our permits is really a routine kind of basic blocking and tackling we do almost on a daily basis is we're looking -- we're listening to our customers, understanding what problems they have, and if our facilities can't accommodate a solution for them, we're figuring out what we need to do to go to our regulators to ask for a permit expansion. That being said, we do have a number of permitting activities that are underway at multiple sites and that will just be continuing to progress as we go through the regulatory framework.
Michael E. Hoffman: So like Dynecol, which I know you're calling US Ecology Michigan now, that -- you haven't succeeded in getting that yet, but that's -- there is upside there, for instance?
Jeffrey R. Feeler: There is. And we're actively working on those today and we're in process. We have plans to have that in hand by the end of the year if everything goes right. And it's progressing on schedule.
Michael E. Hoffman: Okay. And then, with the level of refining turnarounds that are going on, how would you frame the sort of capacity utilization or sort of the sold-out through kind of characterization of Thermal Desorption?
Jeffrey R. Feeler: Right now, we've talked about capacity utilization on our Thermo unit is somewhere in the range of 36,000 tons a year to maybe north of there depending on the mix of material that comes in. What we're seeing from a -- the strength in the market is, we basically have a backlog situation in our Texas facility that we're scheduling out into June at this point in time.
Michael E. Hoffman: Okay. And then, given the strength of the cash flow -- and there is some effort to get the leverage back down to a place that makes you comfortable. But any prospects that if there's not deals on that horizon we'd see the dividend go up?
Jeffrey R. Feeler: Our dividend policy is reviewed annually with our Board of Directors and it's really in connection with the annual cycle of director elections. We'll be conducting this review over the next month. In this analysis, the board will evaluate a number of factors, including our capital allocation, and really determine where -- what is the best use of our free cash flow. And one of those options is would be to increase the dividend. That is --  it will be underway shortly. But at this time, we have no intentions to cut the dividend in any form and we'll be at future levels as we complete that analysis.
Operator: Your next question comes from the line of Barbara Noverini of Morningstar.
Barbara Noverini: So I understand it's been about a year now since the waste control house disposal facility in Texas has been up and running. Can you discuss the effects you've been feeling over the past year regarding this new capacity entering the overall marketplace?
Jeffrey R. Feeler: From the waste control specialist side of things, they're not impacting our business at all. They're in kind of a different market right now and really aren't competing for the same levels of materials that we'd be competing. So we're not anticipating any impacts from that new entrant to the market.
Operator: Your next question comes from Rich Wesolowski of Sidoti & Company.
Richard Wesolowski: In listening or looking at all the expansions you have and accelerating the cell space in Nevada and so forth. I'm wondering how you think about the utilization of your plans broadly in that -- not how much is left over a period of years, but how much more could you put in, in the immediate term without turning away business, i.e., if someone came to you with a project, just hypothetically, to process 200,000 tons of waste before the end of the year, would that crowd out Other business?
Simon G. Bell: Rich, this is Simon. We would need to know a bit more about the details about the wasting question, where it's coming from and which facilities it would need to go to. But in general, all of our facilities have excess treatment and disposal capacity. As we've discussed in past calls, we've made significant investments at all of our facilities in an effort to develop the necessary -- what we call the surge capacity to tackle the large jobs as they are identified. This continues to be an important part of our strategy and it's been a focus of our capital spending. So it's difficult to respond without the details. But in general, we continue to have this excess capacity, and we're confident in our ability to take larger jobs with current volumes.
Richard Wesolowski: I don't have any of those projects for you, just to be clear. But I've noticed that -- you mentioned Beatty and Robstown and up in Montréal this year in terms of sites you're expanding and Grand View was absent, I forget, was that done last year or is that just timing?
Simon G. Bell: Yes. That's correct, Rich, it was done last year. And Idaho has probably more capacity than the rest of our facilities combined, so we don't anticipate any landfill need for that facility for several years. We've got a very, very large build capacity, as we speak.
Operator: Your next question comes from Rob Stone of Cowen and Company.
Robert W. Stone: I wanted to touch on the Event Business again. I know it was some issue of the seasonal compare, Q1 versus last year. But anything else you would say that's driving that business in an unusual way?
Jeffrey R. Feeler: Not really, Rob. As we came out with our year end -- or with our year guidance back in February, we saw a healthy opportunity, a pipeline of opportunities in the Event Business and that's really materializing in the first quarter. I think the percentage growth is a little distorted because it's an easier compare for the prior year. But that being said, we've had multiple cleanup projects that started in the first quarter that will continue either throughout the year or will continue on a multiyear basis. So the pipeline looks good. We're seeing additional opportunities that are coming in front of our sales teams for later this year, and we feel really good about what we're seeing.
Robert W. Stone: So the change in the mix that you mentioned is really not a reflection of Event Business slowing down, but more just normalization of the quarter-to-quarter differences?
Jeffrey R. Feeler: Yes.
Eric L. Gerratt: That's right.
Robert W. Stone: On the transportation revenue -- I know that's episodic depending on where things are coming from. But do you have a view, is that something that was more in Q1 or based on projects that you can see through the end of the year? Would you expect this higher contribution of Transportation revenue to continue?
Jeffrey R. Feeler: Yes. Transportation revenue is definitely highly correlated to our Event Business. And given the strong growth that we had in our Events side in the house this quarter, you saw the increase in the Transportation services revenue. As we look out, a number of those projects, especially the ones that are going to be shipping throughout the year, will have a transportation component. I would expect that, that would continue in that same higher levels throughout the year as long as those projects are continuing to ship to us.
Robert W. Stone: Okay. So in terms of the pipeline, it sounds like you've got a lot of stuff that's already scheduled out through the balance of the year. Any sense of what you've already lined up versus what you're chasing, how that sort of lays out for your expectations for the full year 2013?
Jeffrey R. Feeler: Yes. What we're seeing right now is really no change from what we've had in previous earnings guidance. So the opportunities are there, it's within expectations; hence, the reason why we feel comfortable of reaffirming the range at this stage.
Robert W. Stone: Okay. With respect operating expenses, you mentioned the uptick is really related to the acquisition. How should we think about the Q1 number as a sign post for the run rate for this year?
Eric L. Gerratt: Yes, Rob, this is Eric. We typically look at SG&A as a percentage of -- we really focus on it as a percentage of treatment and disposal revenue, which, for the first quarter of this year, was about 15.7% versus about 18.7% last year in the first quarter. We feel like that this quarter is a pretty good indicator of what we're expecting for the remainder of the year and where we think we should shake out.
Robert W. Stone: But you mentioned specifically that there is a lot of leverage in T&D with additional volumes. A lot of your expenses are not fixed. So I was thinking of the run rate in dollars as opposed to a percentage. Should we expect this level to be relatively stable through the year? Or are there things that are going to drive it up and down by quarters?
Jeffrey R. Feeler: I think we'll see it be relatively stable, again in that 15% to 16% range from a T&D revenue perspective. But I think for the year, we're expecting total SG&A in the $25 million range.
Robert W. Stone: Okay, that's helpful. Finally, with respect to your government-driven business, do you see potential impact from fallout from the sequester?
Jeffrey R. Feeler: Rob, this is Jeff. From the government side of the equation, I mean, that's definitely an area we are continuing to monitor. The largest customer from the government we have is the U.S. Army Corps of Engineers. And as we talked about when we released initial guidance for the year, and really reaffirming it again today, we are expecting year-over-year declines in that business. A lot of it has to do to budgetary constraints, but also just timing of projects of when they're shipping and what's available there. It's something we're continuing to monitor. We don't see any major impact at this stage, but it's definitely reflected in our guidance at this stage and we'll continue to update that as the year unfolds.
Operator: [Operator Instructions] Your next question comes from the line of Michael Hoffman of Wunderlich.
Michael E. Hoffman: Actually they've got covered by all the other questions.
Operator: Thank you for your questions, ladies and gentlemen. I would now like to turn the call over to Jeff Feeler for closing remarks.
Jeffrey R. Feeler: I want to thank everybody who attended the call today. I appreciate the interest in the company and we'll be talking to you next quarter.
Operator: Thank you for your participation in today's conference. That concludes the presentation. You may now disconnect. Good day.